Operator: Good day and thank you for standing by. Welcome to the Fiverr Q1 2025 Earnings Conference Call. At this time all participants have been in listen-only mode. After the speakers’ presentation there will be a question-and-answer session. [Operator Instructions] Please be advised today's conference is being recorded. I'd now like to hand the conference over to your first speaker today, Jinjin Qian. Please go ahead.
Jinjin Qian : Thank you, operator and good morning, everyone. Thank you for joining us for Fiverr's Earnings Conference Call for the first quarter that ended March 31, 2025. Joining me on the call today are Micha Kaufman, Founder and CEO, and Ofer Katz, President and CFO. Before we start, I'd like to remind you that during this call, we may make forward-looking statements and that these statements are based on our current expectations and assumptions as of today and Fiverr assumes no obligation to update or revise them. A discussion of some of the important risk factors that could cause actual results to differ materially from any forward-looking statements can be found under the risk factor section in Fiverr's most recent Form 20-F and other filings with the SEC. During this call, we'll be referring to some key performance metrics and non-GAAP financial measures, including adjusted EBITDA, adjusted EBITDA margin, and free cash flow. Further explanation and a reconciliation of each of the non-GAAP financial measures to the most directly comparable GAAP measures is provided in the earnings release we issued today, and our shareholder letter, each of which is available on our website at investors.fiverr.com. And now I'll turn the call over to Micha.
Micha Kaufman : Thank you, Jinjin. Good morning, everyone, and thank you for joining us. I'm pleased to kick-off 2025 with a strong first quarter, exceeding expectations in both revenue and adjusted EBITDA. This performance reflects the strong execution across market base and services segments. I'm proud of how our team have been laser-focused on delivering impactful products at a high velocity and driving progress toward our strategic priorities. We made good wins within Fiverr Pro this quarter, and early signs of Fiverr Go show strong engagement and meaningful conversion improvement. I’ll talk about both in more detail shortly. The past few months have been quite dynamic on the macro front. In the world where we operate, however the overall demand for freelancing has been stable. Our business has no direct exposure to tariffs, and we believe that Fiverr’s compelling value proposition, offering a competitive edge, speed, agility, and cost-effectiveness, may become even more attractive as businesses navigate an evolving economic climate. Our updated guidance reflects our confidence in the business for the remainder of the year. The three strategic priorities we set for this year are: strengthening the marketplace by going upmarket, expanding value-added services as a key growth catalyst, and investing in AI to drive long-term upside in the business. We’ve talked a lot in the past quarters about leaning into value-added services to drive growth in the current environment, and you can clearly see that through the services revenue disclosure we started providing last quarter. Today, I want to talk more about the other two efforts, Going Upmarket and AI, and how we’ve made exciting progress in those areas that allowed us to drive incremental volume on our Marketplace. Since launching Fiverr Pro as a Business Solutions suite two years ago, we have continued to invest in rounding up the product offerings. Today, with Fiverr Pro, clients can access the premium marketplace with high-quality vetted supply, submit a job request via Dynamic Matching to get a shortlist of recommended sellers, utilize Project Management to get end-to-end support for large projects, and contact a Customer Success Manager to discuss needs directly, all of this in addition to the broader marketplace we operate. This array of products not only provides a tailored experience for customers based on their needs and preferences, but it is also highly effective from a business perspective. It allows us to efficiently drive buyer conversion via the shortest path, and cross pollinate customer leads between the products, so that we can win customers from the most efficient channel and maximize conversion across the platform. Thanks to our efficient enterprise go-to-market strategy, in Q1 we managed to close a few large deals in the range of hundreds of thousands of dollars, without the need for a typical sales organization with complicated sales processes and long sales cycles. One of the deals was with a large book publishing company, which utilizes Fiverr’s freelancers for book editing and proofreading services across English, German, French, and Spanish. After finding success in the marketplace with $15,000 spending, the client scaled quickly and signed a $200,000 engagement through Fiverr Pro to help them with hundreds of children’s books. They also decided to leverage the Project Management services to help orchestrate all freelancer operations on their behalf. Another example is a leading online education company in the US that transitioned its YouTube video production to Fiverr. Following a successful proof-of-concept project supported by our Customer Success team, they recognized the superior value and efficiency of our platform. Fiverr's capacity to deliver high-quality outcomes at scale with rapid turnaround is instrumental in scaling their YouTube channel, offering a clear advantage over their previous reliance on a traditional digital agency. These successes are a testament to the power and scalability of the Fiverr platform for enterprise clients. On Fiverr Go, following the landmark launch event in February, we’ve consistently seen strong engagement among both sellers and buyers. Over 6,000 top-quality sellers on Fiverr have activated Fiverr Go, and over 200,000 buyers have interacted with the product. While still early, initial signals around conversion have been highly encouraging. For sellers who activated Personal Assistant, we saw one-hour conversion uplift of 56% and 14-day conversion uplift of 10% compared to their historical average. This means that because Personal Assistant is always on, and can respond to buyers immediately, with the ability to reference seller experience, suggest pricing, and ultimately close deals, it allows sellers to convert meaningfully better and faster. We are also thrilled to see buyers actively engaging with the Playground to explore and understand the unique offerings of each seller. The power of Fiverr Go lies in its personalized and humanized model, drawing exclusively from each seller's portfolio and history on our platform. This ensures that the generated visuals authentically showcase their style and quality, enabling buyers to make informed decisions with increased confidence. This also led to amplifying visibility for our most exceptional, high-caliber sellers. While still early, these promising signals reinforce our confidence in GenAI's transformative potential to elevate the marketplace experience, fundamentally redefining how buyers and sellers connect and collaborate. Moving forward, we will continue expanding both category coverage and seller access. We will also strategically integrate the Fiverr Go experience further into our marketplace, broadening its influence earlier in the buyer journey. We are incredibly excited about the momentum we've built in Q1 and the trajectory it sets for the rest of the year. Our strategic focus on going upmarket, expanding value-added services, and leveraging the power of AI, positions us for continued success. The innovations we are bringing to the market are not just incremental changes; they are fundamental shifts in how work is done, and we are leading that change. We look forward to sharing our continued progress with you in the coming quarters. With that, I’ll turn the call over to Ofer.
Ofer Katz: Thank you, Micha, and good morning everyone. We delivered an outstanding first quarter, with strong execution across the board. Revenue for the first quarter was $107.2 million, up 15% year-over-year, representing an acceleration from 13% year-over-year growth in Q4. Adjusted EBITDA for Q1 was $19.4 million, representing an Adjusted EBITDA margin of 18%, an improvement of 100 basis points from a year earlier. We continue to generate strong cash flow, with free cash flow totaling $27.4 million, up 31.6% year-over-year. We maintain a disciplined approach to capital allocation, including the use of cash to return capital to our shareholders. This quarter, our Board authorized an additional $100 million for our stock repurchase program, underscoring our strong confidence in the long-term opportunities of our business and our unwavering commitment to delivering shareholder value. Q1 saw solid performance across both our Marketplace and Services segments. Marketplace revenue reached $77.7 million, driven by 3.5 million active buyers, $309 of spend per buyer and 27.7% of marketplace take rate. This growth was driven by the ongoing strength of Fiverr Pro, resulting in robust increases to spend per buyer, and further enhanced by the multiple large transactions discussed earlier. Historically, Q1 tends to be a seasonally strong period for marketing investments. This quarter, the stepup from Q4 is slightly larger than what has been the case for the last two years. We saw opportunities to lean in more on marketing investments in the beginning of the year while maintaining a tROI of approximately 5 months. This underscores our nimble and data-driven go-to-market strategy as one of our competitive strengths that allows us to capitalize on opportunities when they present themselves, especially in a highly dynamic macro environment. That said, I don't think we've seen a real inflection in the freelancing demand environment in our space. So from a forward-looking perspective, we haven’t changed our view or the macro assumptions going into our guidance. Services revenue was $29.5 million, representing year-over-year growth of 94%, driven by continued strength in Fiverr Ads, Seller Plus, and AutoDS. Services revenue represents 27.5% of our total revenue in Q1, and we expect it to reach over 30% for full year 2025. As Micha mentioned, we have seen strong seller engagement for Fiverr Go in the last two months. In addition to the conversion uplift, we expect to see some incremental uplift to Seller Plus subscriptions for the second half of the year, as most sellers leverage Fiverr Go through the bundled subscription offerings with Seller Plus Premium. Now, onto guidance. Given the strong performance of Q1, we are raising the low end for both revenue and Adjusted EBITDA of the full year 2025 guidance. We now expect full year 2025 revenue to be in the range of $425 million to $438 million, representing year-over-year growth of 9% to 12%. Adjusted EBITDA is expected to be in the range of $84 million to $90 million, representing an Adjusted EBITDA margin of 20% at the midpoint. For the second quarter of 2025, revenue is expected to be $105 million, $109 million, representing year-over-year growth of 11% to 15%. Adjusted EBITDA is expected to be $20 million to $22 million, representing an Adjusted EBITDA margin of 20% at the midpoint. We expect to generate marketing leverage throughout the year, and our R&D expense will grow more modestly for the remainder of the year compared with Q1. We continue to manage the business with the highest level of discipline and efficiency. We are well on track toward our long-term targets to reach 25% Adjusted EBITDA target in 2027 and deliver 14% CAGR to free cash generation for the three years ending in 2027. To close, I’m very happy with the strong start in 2025. I believe Fiverr is not only well-positioned for today, but is building a robust foundation for long-term, sustainable growth and market leadership for years to come. With that, we’ll now turn the call over to the operator for questions.
Operator: Thank you. [Operator Instructions] Thank you. We'll now take our first question. This is from the line of Ron Josey from Citi. Please go ahead.
Ronald Josey: Great. Thanks for taking the question. You know, Micha I wanted to ask you, please, one on Fiverr Go and one on just the broader demand environment. So on Fiverr Go, we're only a few months in, great results so far. We are hearing better conversion rates, newer, larger contracts, and just sort of better overall results. So talk just a little bit more about the progress here, how you see Fiverr Go going throughout the rest of the year in terms of rollout. I think you talked about broader categories, greater adoption, things along those lines, as we're seeing just better overall results early on. And then just on the macro front, Micha, and Ofer you talked about I think a stable demand environment overall and marketplace revenues came in better than our projections here. So we'd love your insights on drivers on what's going on out there. Thank you.
Micha Kaufman: Thank you, Ron. Good morning. So I'll take -- start with the question about Fiverr Go. So essentially as we designed Fiverr Go, in our mind this was a satisfaction, confidence, and conversion machine. Essentially what it does, it provides a much better, much higher confidence experience for our customers, but it also lowers the operational effort done by the talent, freeing more of their time to do actual talent work. And we've done exactly that. So what we've done in the past two months since launch is actually check product market fit. And I'm happy to report that we have it. We are super happy with the with the results so far. The impact on conversion is meaningful and the level of quality that we've seen as testament by the fact that buyers love the product, they love the assistant, they love to play with the model, it gives them more confidence to make a decision, is there. And sellers love it because it is a conversion machine and it lowers their effort to convert. So this is done and we're happy. Now we're getting into the scale of this. This is the scale phase. And much like in the case of Fiverr ads, I told you that the key to succeeding at scale is maintaining quality. So what you expected from us as we expanded Fiverr Ads, should be the same expectation that you should have with Go, meaning that we're going to expand this across many more categories, many more segments of sellers, but ensuring that as we do this and the quality maintained so that the confidence that our community has in this technology will continue to be very, very high. My expectation is that at the end game of it, this is going to be a tool that everybody is going to use because it's just killing it and we're super happy with this. The second question was on the macro front and you know I think that what we've said is really that the freelancing demand is stable. It's not going up. It's not going down. We're seeing a pretty steady state at this point. And I think that what we've seen in the elevated results in Q1 is we saw some pockets of opportunities where it allowed us to drive incremental upsides. And specifically, we've done this on the business front with the business solutions and our ability to actually, I mean, seasonally, Q1 is a good quarter. This Q1 was even better. It was better. The opportunity was actually larger than the opportunity in the past two Q1s, meaning that this year we had better opportunities than we had in the past two years and we leveraged it. And I think that this is the beauty about the Fiverr machine. We can be super opportunistic and seize every opportunity in real time, which is exactly what happened this time. And you know we've been discussing at length in during the past many quarters the investments that we've done in the business solution side and this is paying-off. It's paying-off and it's starting to shape up as an -- it's really a playbook that allows us not to just identify the right customers and provide them with the right service, but also engage with these customers to make sure that we actually manage to extract their full wallet potential, as they grow their business with us.
Ronald Josey: Thank you, Micha.
Micha Kaufman: Thank you, Ron.
Ronald Josey: Thank you.
Operator: Next question comes from a line of Bernie McTernan from Needham & Company. Please go ahead. This is the line of Bernie McTernan from Needham and Company. Your line is open. Please ask your question. I think we may have lost them, so maybe jumping to others. The line is on mute.
Stefanos Crist: Hi, can you hear me?
Operator: We can now. Thank you.
Stefanos Crist: Hi, this is Stefanos Crist calling in for Bernie. Thanks for taking our questions. Just wanted to touch on Fiverr Go. You talked about seller satisfaction. Could you maybe just talk about some of the dynamics for buyers so far? Thank you.
Micha Kaufman: Good morning, Stefanos. Sure. So essentially, as I was referring to satisfaction, I was referring to both buyers and sellers. So the key to launching this was first having the sellers embrace this new solution so that buyers can enjoy the solution. And as I've said, the initial results of the embrace are very high and to our satisfaction. And what we've seen is that buyers love to use it. They love to use it for a few reasons. One, it's always on. So whenever they have a question, whenever they want to consult on something, whenever they want help experimenting, viewing portfolio, figuring out the availability of the seller. And if their project is suitable for that seller, they get an instant result. But it's not an average chatbot. We've invested tremendous amount of effort in building the tech that would humanize these agents and actually give them the voice of the actual seller, the voice and the style, but also the entire world of creation and the conversational world of the seller, which means that unlike in many other places where typically customers don't like chatbots, in this case, even though we're saying that this is the AI assistant of the seller, some customers don't even realize that they're talking to a machine. So much so that they carry complete conversations and they are super happy with it. They get instant results which translate into much, much higher and much more rapid conversion. And obviously sellers love this and they can continue tweaking their agents. And these agent over time are not going to be just providing the personal assistant services, but they are going to be your business partner providing sellers and buyers, or taking care of sellers and buyers needs as much as they can do it, improving the seller's performance and improving the buyer immediacy and satisfaction.
Stefanos Crist: That's great. Thank you.
Micha Kaufman: Thank you.
Operator: Thank you. Next question is from Jason Helfstein from Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. Hi, everybody. So, Two questions. One, how should we think about services revenue growth going forward? Obviously, big growth there. Is this kind of year-to-year rate of growth sustainable? Or should we kind of start to think about the business more on a quarter-to-quarter sequential basis? Like you hit some kind of runway level. And then just, Micha, you sound a lot more positive overall than probably the last few quarters in our view. So maybe where is that enthusiasm coming from? And maybe go in AI, are you actually seeing kind of better business dynamics on the SMB? It doesn't seem like it. Maybe it is on, you know, kind of some of the more enterprise tools, but just maybe some color. Thank you.
Micha Kaufman: Okay. Good morning, Jason.
Ofer Katz: Hey, Jason. This is Ofer. On the first part of the question, definitely services revenue are sustainable and we anticipate them to grow over the next two quarter and take a bigger portion in terms of percentage of the overall pie. I think I mentioned in the prepared remarks that we'll reach 30% of the total revenue driven by the services by the end of the year. This goes to the fundamental value that we provide throughout the services. There is a pipeline of additional tier, that we plan to add to seller-plus. Promoted [gigs] (ph) is still extending and under dropshipping the business goes well and expanding into a bigger audience and more tools. So overall, I think that under service revenue, we are confident that we can drive this business forward.
Micha Kaufman: Yeah, and on the second part of your question, I'm happy I sound more optimistic, even though I felt very optimistic in previous quarters as well. I think this draws from the fact that we are making great progress. The investment that we've done in up market, which as I've said, we've been talking about this at length for many quarters is shaping up to see great results. I love it. The second is Go. What we've done with Go, we've been experimenting with AI, you know, for a couple of years. And I think this time we nailed it. And we found something that brings a lot of benefit for our entire community, not just one side of the two-sided marketplace. And this I think gives us a the conviction that this strategy is actually paying-off and we're seeing on the large customer side as well, the impact we've laid some of that in our letter to shareholder.
Operator: Thank you. We'll now take our next question. This is from Eric Sheridan from Goldman Sachs. Please go ahead.
Eric Sheridan: Thank you so much for taking the question. Maybe one big picture and then one on the margin. Bigger picture, you mentioned in the prepared remarks that given some of the macroeconomic volatility you might see receptivity to more freelance work across the broader economy. I wanted to know if you could sort of flush that out a little bit in terms of the way you think about enterprises potentially moving around more towards being sort of adopting the freelance economy and how those conversations might evolve in such an end-to-end environment that was more volatile. And then the margin side, you know, well noted on the comments about marketing and R&D, as we progress through this year. When we look out to the second half of this year with Fiverr Go having launched, are those sort of good run rates to think about marketing ROI and marketing leverage or R&D as a source of either leverage or deleverage for more than medium to long-term for the business? Thank you so much.
Ofer Katz: I'll take the first part and moving forward adapting freelancing. What we are seeing is big transaction coming from enterprise, seeking for freelancer to complement both an internal but also new project where they lack expertise or need to augment the existing internal team by means of expertise or skills or temporary assignment. It usually comes with a critical business need. And I think that as volatility in the market goes across new technology that comes by and goes across the need to hire skills that doesn't exist. Sometimes goes across efficiency, challenge that organization experience. I think that this is where freelancing can take a bigger part and play a more critical role in the employment cycle.
Micha Kaufman: Yeah, it may be worth mentioning that, you know, the fact that we've been focusing for many quarters on high-value buyers really allowed us to zoom into a sector that reduces the exposure to macro. We haven't seen, as we said, we haven't seen any change. Macro is pretty flat from our perspective at least. But the fact that we are entertaining higher value buyers, those who have larger wallets and their projects are more mission critical, allows us to continue even though macro is not improving to continue improving the fundamentals of the business itself.
Ofer Katz: On the second part of the question, Eric, on the margin side. So there's definitely more room, and we are committed to the long-term EBITDA target. So there is more room both in marketing and R&D to expand into -- expand EBITDA over the next few quarter. I think that the more we rely on existing customer and retention improve, as cohorts are becoming more relying on high value buyer and a bigger organization, we should expect marketing to become more and more efficient, and that's what we've been doing over the last few years. I think that as a business scale, I think that R&D is the [center] (ph) of total, is slightly declining. Again, those are trends that are not new. And one who track back historical figures for the last few years, we'll see how this is happening pretty consistently over time. And this is what we expect to happen in the next few quarters.
Eric Sheridan: Great. Thank you.
Micha Kaufman: Thank you.
Operator: Thank you. I'll take the next question. And this is from Josh Chan from UBS. Please go ahead.
Joshua Chan: Hi, good afternoon, Micha, Ofer. Thanks for taking my question. Just two quick ones, I guess. On the six figure deals that you had signed during the quarter. Is there a trend to notice in terms of why the customers first try Fiverr ? Was there an issue with their existing method of delivery? How did they first encounter Fiverr , ex cetera? And then second question, on the auto DS side, have you seen any impacts from tariffs that were kind of implemented earlier in Q2 and wondering if there is been any impact in that business. Thank you.
Ofer Katz: I think -- so thank you for the question. I think the common denominator for the first question is the fact that this customer or type of client are lending at Fiverr on a pretty occasionally basis. They arrive at Fiverr to seek for freelancing services. The only thing that has changed is the fact that we managed to find them and communicate with them and unlock the need for high touch on a real-time basis. And I think what we've been able to do is to create engagement or relationships that allow them and us to extend the trust. And with a high touch accounts manager that follow and assist the customer, they're able to spend much more on the marketplace. I think that's the one thing that we have changed. We talked about that over the time, I think we've been asked many times, are we planning to build a self-force? And we said, no, we don't need to. We just need to implement a proper funnel that can attach to the appropriate customer when they land into Fiverr. That's the only thing we have been changing and it's happening -- it's growing and we plan to extend it.
Micha Kaufman: Yeah, and I think I think you know the fact that customers are actually starting at the scale that allows them to build confidence is actually great. And that's why we moved from a marketplace strategy to a platform strategy. That is much more than just a marketplace. Sometimes the marketplace allows us to build the confidence and the relationship so that we can actually dive into much larger. That's the playbook. It works great and it actually allows us to engage with customers much easier than you know doing traditional sales.
Ofer Katz: And the second part of the question, AutoDS, the simple answer is no.
Micha Kaufman: Yeah. That's right. Yeah. I mean, look, you need to remember that AutoDS is a software subscription business. Right? So their revenue is more tied to seats and subscriptions rather than volume, which could mitigate volatility. So that's the longer answer than just no.
Joshua Chan: That makes a lot of sense. Thank you so much for the cover.
Micha Kaufman: Thank you.
Operator: Thank you. [Operator Instructions] And your next question today is from Andrew Boone from Citizens. Please go ahead. We have Andrew Boone from Citizens. Please go ahead. Your line is open. The phone on mute.
Andrew Boone: Hi, can you guys hear me?
Operator: We can now. Thank you.
Andrew Boone: Okay. Sorry. If I think about reinvestment rates for freelancers back to the platform and services revenue reaching 30% plus, on my simple math, it seems that freelancers are reinvesting back at kind of a 20% rate after kind of the marketplace take rate. Is there a level that you guys think about in terms of the sustainability of that or when freelancers start to push back in terms of how much they want to reinvest into Fiverr. How do we think about kind of the ROI from the freelancer perspective of kind of these new tools and what's required in terms of additional kind of payments there? And then if I think about active buyer trends and the smaller portion of the platform, that certainly is a drag in terms of overall GMV. Can you speak to just the stabilization of that? Is it starting to asymptote in terms of the point that we should expect larger customers to be able to overcome that in the back half of the year or how do we think about the smaller portion of that in the drag on overall results? Thanks so much.
Ofer Katz: Hey Andrew, thanks for the question. Look, so first of all I should say or state what's obvious to us. There is no pushback. The reason is that when you think about the value-added services or what's compounded within the service revenue, it's very simple. You shouldn't just look at the cost. You should look at what the benefit is. And basically, these are tools where there's ROI positive for everyone. It generates more money than it costs, which is why there is no reason to feel a pushback on it. It's a great investment. And this is why we've been prudent in how we've developed these tools and how we expanded these tools to make sure that as these tools work on a larger scale, they continue to be [accretive and create] (ph) ROI positive. So that's a very, very simple answer to that point.
Micha Kaufman: I think on the second part of the question on the active buyer, we are definitely pushing up market. And acquiring bigger customer with a higher lifetime value is coming an account of acquiring many small customers with a very low lifetime value. I think economically it makes sense and that's why we are doing that. And we don't plan to change this type of operation. We are doing that for, I think, the last two years or three years. So economically, it makes sense. And I think bigger customers not only have better lifetime value, they also have higher sustainability during this period, but for longer span over the years. I think this is why it makes sense that this is why we're doing that. So as long as macro economy doesn't change and allow us to expand our investment in marketing into different tier, you shouldn't expect change in the balance between spent per buyer and active buyer. We are going to invest into spent per buyer and it's going to grow, while active buyer is going to decline. I think that once maybe interest will go down or maybe optimistic of SMB is going to change momentum, this is the point of time where I would expect that central buyer is going to grow but active buyer is not going to decline the same way. But that's kind of the time frame that I would expect to change this dynamic.
Andrew Boone: Thank you.
Operator: Thank you. We have one more question. The last question today is from Marvin Fong from BTIG. Please go ahead.
Marvin Fong: Great, thanks for taking my question. On the sales and marketing opportunity that you saw in the first quarter, I'd just love to understand that a little bit better. I mean, was that primarily lower CPCs, and was that broad-based across the entire business, or was it focused on specific verticals? And apologies if you've mentioned this but has that opportunity continued into the second quarter or has that sort of disappeared? And then second question, just on the Fiverr Pro contracts, it's great to see those developing. I understand that that's typically a monthly subscription product. To engage in these sort of longer-term contracts. Now what sort of the incentivization for the customer? Are you guys providing even more service or are there different unit economics? Any insight there would be great, thank you.
Micha Kaufman: Hey Marvin, thanks for the question. So, yeah, so on the sales and marketing, you know, when we see opportunities, we seize them and we look for opportunities on a geo basis, on a channel basis, on category basis. And in Q1, we've seen some of these opportunities, obviously, for obvious reasons. I'm not going to be too specific on this. But when we see those opportunities, we see them not, again, that's the beauty of the machine of being able to run thousands of different campaigns on different channels, on different mediums for different audiences, in different geos, so that when we see that opportunity, we [seize] (ph) that in this strategy will continue throughout the year, including Q2. It was always our opportunity and I think it was good that we were able to capture this during Q1, which from a seasonal standpoint is always a good time of the year to do this.
Ofer Katz: And the second part, our approach to the Pro product and service is slightly different. There is no subscription, but you need to spend enough money on the platform in order to be eligible to use the product and to receive the service. And there are certain elements that we provide on Pro that incentivize the buyer to join the program. I think the first and the most important one is that there is a queued group of seller -- for seller, where buyer that expect to enjoy a different experience of communicating, of search, and engaging different level or tier of seller usually appreciate. The second is that there are certain products, and I will name one, but there are other like hourly order or hourly engagements that are available only for users. It goes to retention program like reward program where certain pro-buyer that stands above the minimum amount received some reward. And lastly, it goes to account management and high-touch services that include sourcing and other types of assistance that certain customers need in order to allow them at the end to engage further, to retain and spend more money on the platform. So all of those incentivize Fiverr to engage, to sign up to the program and retain over a long period and eventually spend more money on Fiverr.
Marvin Fong: Got it. That's great. Thank you both.
Micha Kaufman: Thank you.
Operator: Thank you. There are no further questions, so I will now hand the conference back to Micha for closing.
Micha Kaufman: Thank you, Sarah, for moderating the call and thank you everyone for joining us this morning. We look forward to seeing you in the upcoming conferences. Have a great day.
Operator: Thank you. This concludes today's conference call. Thank you for participating and you may now disconnect.